Operator: Good day and thank you for standing by and welcome to the Allegro MicroSystems Q1 Fiscal 2022 Financial Results Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Ms. Katie Blye, Senior Director of Investor Relations. Please go ahead.
Katie Blye: Good morning and thank you for joining us today for Allegro’s first quarter results for fiscal year 2022. I am joined today by Allegro’s President and Chief Executive Officer, Ravi Vig and Allegro’s Chief Financial Officer, Paul Walsh. We will review our quarterly financial performance and provide a summary of our outlook. Our earnings release and the accompanying financial tables are available on the Investor Relations page of our website. This call is being webcasted and a recording will be available on our IR page shortly. Please note that comments made during this conference call include forward-looking statements within the meaning of federal securities laws. These forward-looking statements include projections and other statements about future events that are based on current expectations and assumptions and as a result, are subject to risks and uncertainties that could cause actual results to vary materially from our projections. Please refer to the earnings press release we issued today and other documents filed by us with the SEC, including the risk factors discussed in detail in our most recent 10-K filed on May 19, 2021. The company assumes no obligation to update any forward-looking information presented. The non-GAAP financial measures that are discussed today are not intended to replace or be a substitute for the presentation of Allegro’s GAAP financial results and maybe calculated differently than similar measures used by other companies. We are providing this supplemental information, because it may enable investors to make meaningful comparison of the core operating results and more clearly highlight the results of our core ongoing operation. A reconciliation of GAAP to non-GAAP financial measures referenced during today’s call can be found in our earnings press release, which has been posted to our IR page. I will now turn the call over to Allegro’s President and CEO, Ravi Vig. Ravi?
Ravi Vig: Thank you, Katie and good morning everyone. Our FQ1 results were outstanding, exceeding our expectations. With strong execution, we achieved the highest quarterly revenue level in our history for our core end markets and the strongest gross margin result to go with it, both on a dollar and percentage basis. We also saw significant growth in EPS, beating our expectations. Automotive and industrial both reached record revenue levels, demonstrating strength across our increasingly diversified business and we achieved record revenue for both magnetic sensors and power ICs reflecting increased content in our target applications. Our demand continues to be strong as a result of accelerating design wins and our near-term projections will be supply limited. We expect supply constraints to loosen in the second half of our fiscal year as additional wafer capacity comes online and we anticipate continued growth in the second half. In addition to the benefit of the near-term recovery on our business, remarkable design win momentum gives us confidence in our long-term growth trajectory. We believe strong demand for our differentiated technology across growing markets puts us in the best position ever to deliver on profitable, sustained outsized growth. Before I go into more detail on the business and our outlook, I will turn the call over to Paul for color on the financials.
Paul Walsh: Thank you, Ravi. Q1 was a great start to fiscal ‘22. Backlog is at historic levels and ordering patterns continue to be very strong. Top line growth was up 7.4% sequentially. GAAP gross margin hit 50% for the first time. Non-GAAP gross margin improved to over 52%. GAAP operating income reached 17% and non-GAAP operating income ended above 22%. GAAP diluted EPS rose to $0.14 and non-GAAP diluted EPS rose by 24% to $0.18. Supply constraints remain at the forefront in terms of addressing near-term demand. However, we continue to execute well and expect to see another healthy quarter in Q2. We expect our supply constraints to gradually ease in the second half as we begin to see the early results of our ramp of wafers from TSMC. Our Q1 revenue of $188.1 million was up 64% year-over-year and well ahead of our guidance. Growth was driven by better than expected delivery to automotive demand across end markets and continued strength in demand in industrial offset by anticipated declines in our other business. Automotive represented 71% of revenue and increased 13% sequentially in Q1 to a record $133.5 million, up 75% year-over-year. Our Automotive growth again compared favorably to global car production, which declined during the same fiscal period, reflecting growth in our content per vehicle and the favorable trend toward feature-rich vehicles. We have broad demand visibility across a diverse set of blue-chip customers and believe there is very little inventory at customers or in the disti channel. Industrial represented 16% of revenue, reaching $30.3 million, another record. Industrial revenue increased 4% sequentially and 49% year-over-year. Other represented 13% of revenue and declined 13% sequentially to $23.8 million. Despite meaningful growth across our top customers, none exceeded 10% in Q1. Gross margin performance was strong with GAAP gross margin of 50.0%, up 36 basis points sequentially. Non-GAAP gross margin was 52.2%, also up sequentially by 129 basis points and ahead of our guidance as a result of stronger revenue and continued improvements from our manufacturing transformation. Non-GAAP adjustments include $0.5 million of stock compensation expense, $0.5 million of COVID-related expense and onetime wind-down costs in Thailand, $0.3 million of acquired intangible asset amortization and a $2.8 million charge for a reserve from Voxtel legacy module inventory. The decision to terminate the legacy Voxtel business allows us to focus exclusively on the strategic benefits of this acquisition and removes the distractions associated with the legacy portion of that business. GAAP operating expenses were $61.9 million, down from $67.6 million in fiscal Q4. GAAP R&D expense was $29.6 million, and GAAP SG&A expenses were $32.2 million. Total non-GAAP operating expenses for fiscal Q1 were $56.4 million or 30% of revenue, an improvement of 131 basis points sequentially and at our target level. Stock compensation expense was $4.3 million for R&D and SG&A. Other non-GAAP adjustments were $1.2 million related to the closure of our Thai entity, COVID-19, contingent consideration adjustments and severance. Non-GAAP R&D expense was $28.8 million and non-GAAP SG&A expense was $27.6 million. The sequential increase is due primarily to higher variable compensation driven by outperformance on the top and bottom lines. We expect non-GAAP operating expenses to be about flat in Q2. GAAP operating income for the quarter increased to $32.2 million or 17.1% of sales. Non-GAAP operating income increased to $41.9 million or 22.3% of sales, rising by an impressive 21.6% sequentially, significantly outpacing the solid top line growth of 7.4%. This highlights the strength and profitability of our underlying business model as we continue to scale the top line. First quarter GAAP net income was $27.7 million with an effective tax rate of 13.3%. GAAP earnings per diluted share increased by $0.09 over fiscal Q4 to $0.14 in Q1. Non-GAAP net income increased to $35.2 million or 18.7% of revenue. Non-GAAP earnings per diluted share increased 24% to $0.18, exceeding our guidance. The Q1 non-GAAP effective tax rate was 15.3% and is expected to be in the 16% to 17% range for the upcoming quarter and throughout fiscal ‘22. Q1 diluted share count was 191.2 million and is expected to increase to 191.9 million by the end of the fiscal year. Our balance sheet reflects strong execution in business fundamentals. Cash and equivalents in Q1 were up by $26 million sequentially to end at $230 million, a historic high. We generated $38.5 million in operating cash flow in the quarter. Accounts receivable balances were $103 million, and we ended the quarter with DSO of 49 days, consistent with prior quarters. Net inventory ended the quarter at $82 million, which was a decrease of $5 million sequentially. Our shipments into the channel continue to be strong at 36% of sales for the quarter. Channel inventories continue to hover at historic lows while POS sell-through was at historic highs. I am very pleased with the progress we have made towards our target model, balancing short-term demand dynamics with longer term strategic objectives to deliver on both of our growth and profitability goals. I will now turn the call back to Ravi.
Ravi Vig: Thank you, Paul. Revenue upside in FQ1 was anchored on strength across our strategic product lines and end markets, particularly due to content expansion in automotive. The industry provides favorable tailwinds, and we believe that the underlying diversity of our business, our continued design win momentum and alignment to multiple growth vectors supports the potential to continue to outperform the market. We have been working hard on our R&D pipeline as part of the strategic transformation and new product revenue is augmenting growth in our existing portfolio. Magnetic sensor ICs and power ICs reached an all-time revenue highs in Q1. Magnetic sensor ICs represented 64% of revenue in the quarter and increased 64% compared to the same period last year. Expansion of our speed and position sensor IC portfolios and penetration into new mix applications are supporting growth in this market-leading product line. Power ICs were up 60% year-over-year, representing 36% of our revenue in the quarter. We continue to gain share in key applications such as cooling fans for both xEV and data centers with our differentiated brushless DC fan driver technology. And we continue to leverage our market-leading sensor portfolio to expand our power IC content in automotive. Strength in Automotive reflects our cross-portfolio content opportunity in automotive systems, particularly in ADAS applications such as steering and braking. Revenue increased sequentially across all our automotive end markets with both ADAS and xEV revenue up nearly 80% year-over-year. Customers are awarding Allegro design wins in these two high-growth areas at a faster rate than ever before, providing us with a strong foundation for continued growth. As a result of the transformative shift underway in our automotive business, we are well ahead of our design win targets in both established and new applications across customers and geographies. For example, we locked in steering business for more than 25 new vehicle models across multiple global OEMs in Q1. These advanced systems include expanded opportunities for both our sensor and power products. We launched a new xMR product for EV transmissions. We won new businesses in ADAS braking. And we secured the next generation of crank sensors at a major Korean OEM with our GMR technology, expanding our market share. We have also continued – also secured a number of new wins in automotive exterior lighting with our power products. These advanced lighting features have high adoption rates in today’s vehicles and are one of the fastest-growing applications in our safety, comfort and convenience revenue. During the quarter, we also launched strategic new products for ADAS, including 3DMAG position sensors, combining planar and vertical hall-effect technologies to enable true 3D sensing capabilities with high precision and accuracy. These innovations are opening doors to new opportunities and cementing our leadership in ADAS – in the ADAS market. On the LiDAR front, we achieved a key milestone of sampling our eye-safe photodetector and readout ICs to a well-known leader in front-facing LiDAR systems. Additionally, one of our early customers built a 1D scanned LiDAR system based on our solution that is mechanically simpler than anything on the market. Photonics continues to be a long-term play for us, and we are encouraged by the progress on our road map. While auto production continues to be limited by industry-wide component shortages, we benefit from a shift to more feature-rich vehicles, and we believe our strong position across key systems provides a path to a significant increase in content per vehicle for the upcoming years. Our industrial business exceeded our expectations in Q1 as a result of good growth in Industry 4.0, green energy and broad-based industrial applications where our products are enabling improved energy efficiency to increase sustainability. Like our automotive business, new product development has been a focus for expanded industrial and design win activity is accelerating. These wins were diverse, securing meaningful multiyear growth in data centers, new wins with increased content in the EV home charging systems and wins in factory automation for advanced manufacturing, including modern EV battery manufacturing lines. In fact, with our increasing xEV vehicle content, ramping xEV charging station content and content in the EV battery manufacturing lines, we are positioned to benefit from growth across the full xEV value chain. Demand remains strong across the industrial business with supply constraints and low channel inventories, the limiting factor on growth. However, we believe the continued applications diversification combined with the content gains from new products are increasing our served market and long-term growth potential in industrial. Our other business declined sequentially to $23.8 million as a result of some supply challenges. We expect other will be flat to down sequentially in Q2. Looking ahead, I am very enthusiastic about the prospects for the business. We are delivering differentiated products to the market. We have an exciting R&D pipeline. Our design wins are accelerating in our key markets, and we are executing well on our financial objectives. Near-term, we continue to see record backlog and are working hard to deliver to demand at record revenue levels. Looking at the outlook for fiscal Q2, given current supply constraints, we expect revenue to be in the range of $185 million to $191 million. We expect automotive revenue will be about flat in Q2 after record high levels in Q1 as we continue to manage a constrained supply chain. We expect the industrial business will also be flat to modestly up in Q2. We expect our other business to be flat to down. We expect non-GAAP gross margin to be about flat. We expect non-GAAP earnings per diluted share will be in the range of $0.18. With that, I will turn the call back over to Katie.
Katie Blye: Thanks, Ravi. That concludes our prepared remarks, and we will now open the call for questions. Operator, will you please review the question-and-answer instructions with our participants?
Operator: [Operator Instructions] Your first question comes from the line of Quinn Bolton with Needham.
Quinn Bolton: Hi guys. Congratulations on the nice results and particularly so on the margin performance. Ravi, I wanted to ask on the supply constraints. You obviously have multiple wafer manufacturing partners. I know your Taiwanese foundries have been constrained. You are trying to ramp TSMC. But wondering if you are also starting to see some constraints from your relationship with Polar as well?
Ravi Vig: We actually have been benefiting from our relationship with Polar. We have received more wafers, which have allowed us to service the market upside. And we continue to see – invest in – support the investments that Polar is making to expand its capacity. So, we will continue to see more wafers out from our Polar wafer source. But we also are continuing to progress on our Taiwanese foundries, especially TSMC. This has been on plan. We have discussed it in prior calls. And we stay on plan on our projected ramp.
Quinn Bolton: And then on the sort of just outlook for the automotive market, I know there are supply constraints. But can you talk about what you are seeing in terms of demand or just sort of near-term growth for the EV and ADAS portion of the business? Can that continue to grow sort of in the near-term or do you see supply constraints affecting that business and that business may be flattish in line with the overall segment in the upcoming quarter?
Ravi Vig: Well, we see that car companies are focusing more on feature-rich vehicles. And these feature-rich vehicles tend to be – tend to have high ADAS content or tend to be xEV based. So, we continue to see strength in our xEV and ADAS business. We also continue to see tremendous growth in our design wins in these segments. I think more than half of our design wins last quarter were in the xEV ADAS and our emerging industrial businesses. So we see great alignment with our investments as well as we see that the market is aligning to them.
Quinn Bolton: Great. Thank you very much.
Operator: And your next question comes from the line of Blayne Curtis with Barclays.
Blayne Curtis: Good morning. Thanks for taking my question. Maybe just a follow-up on the last question on supply, if I heard you right, I guess, the upside in June was that you were able to kind of get some supplies. So maybe can you – trying to understand if that’s internal or – sorry, Polar or your Taiwanese supply? And then I’m just kind of curious, I think you said that the back half should grow. I mean, I guess, TSMC coming in should be new products. So I’m just – I wouldn’t expect that to be that much revenue. But maybe you could just highlight kind of what the upside could be if you got supply? And what I guess, is it just the TSMC coming on or are you getting more supply from your existing foundries in the back half?
Ravi Vig: So we are continuing to ramp our existing foundries. So they will help us with supply as we move forward. I think as Paul has mentioned our inventory levels are at historic lows. And so the supply, in part, will help stabilize our own internal chains. But in addition to that, TSMC is ramping, and we are ramping on our strategy, which is Allegro wafer processes that are run at multiple foundries. So the TSMC ramp is on our existing products that we are transferring into TSMC.
Blayne Curtis: Got it. And then I guess as you look at gross margin as you ramp these external, I know Polar was a bit of a drag when you had to use more of that. I’m just kind of curious as you think about gross margin for the rest of the fiscal year?
Ravi Vig: Do you want to take that Paul?
Paul Walsh: Sure. So – in Q2, we’ve definitely seen some of the benefits of the manufacturing transformation that we’ve been discussing for a while. That is tended to overshadow or outperform any cost increase from Polar. And we anticipate, as we’ve guided for this quarter, a continued strength in gross margin, 52%. We’ve been discussing guiding or exiting the year in that 52% range. So I think we’re well on our way on that path.
Blayne Curtis: Okay, thanks guys.
Operator: Your next question comes from the line of Gary Mobley with Wells Fargo Securities.
Gary Mobley: Good morning everybody. Thanks for taking my question. I wanted to double-click on the production mix questions and ask specifically about gross margin profiles for each of presumably three suppliers. So Polar, I think we can all agree is generally lower margin sourcing for you from a gross margin perspective. And so I’m wondering to what extent that impeded the gross margin in the just reported quarter with the revenue upside being met from Polar supply? And UMC, I think, is higher margin revenue for you. Is TSMC going to further enhance your gross margin profile when that ramps? And then related to that, you’ve got some minimum purchase requirements with Polar as part of that divestiture, are you chewing into those minimum requirements or is the timeframe of the minimum purchase unaffected by the volumes that you’re seeing on the upside?
Paul Walsh: Hi, Gary, this is Paul. I’ll take that. From a mix perspective, as we’ve mentioned in the past, Polar does have an increase or is a higher cost wafer than UMC or TSMC. But we’ve also had a number of internal initiatives to help offset that. So we get the benefit of having additional supply from Polar to service this demand, and we’re able to then maintain 52% margin. As we look into TSMC and UMC, as those – you hit those on the head exactly. When we look at minimum purchase requirements for Polar, where – that’s not an issue. I mean where – it’s in this environment – and even in a normalized environment where we – that won’t be any issue for us.
Ravi Vig: And the way to – this is Ravi. And the way to think about our business is that we’ve got great design win momentum. And the design wins are – and great backlog. The design wins are driving top line growth for us. And – what we need to focus on is that these wafer supply sources, as they come on, we are allocating them to service our top line growth. And as the blend of new wafer sources comes on, our overall cost basis will also appropriately adjust. But we remain bullish on the business, both from a gross margin perspective as well as from a top line perspective.
Gary Mobley: Appreciate all the color, guys. Wanted to get a stat from you guys in the past, and I apologize if I missed it, you’ve given us a percentage of your Automotive sales that are driven by xEV and ADAS applications. I believe that’s been running at about third of your revenue. Where is that at today? And to what extent is that mix increasing for you guys?
Ravi Vig: Well, as we said that our xEV and ADAS business grew at 80% for the quarter year-over-year. And the overall business was at 74% of sales for the quarter, although our automotive business grew about 74% year-over-year. So clearly, the xEV and ADAS business has outperformed the rest of the auto business.
Gary Mobley: Okay, appreciate that.
Paul Walsh: Gary, this is Paul. Just to add to that a little bit. I mean it is – we continue to see sequential improvements as a percent of auto from xEV and ADAS. And we anticipate that for the balance – for the foreseeable future.
Gary Mobley: Thanks.
Operator: And your next question comes from the line of John Pitzer with Credit Suisse.
John Pitzer: Yes. Good morning guys. Thanks for letting me ask a question. Ravi, clearly, the key concern investors have right now has been times where things are this tight, there’s inevitably inventory build that’s going on that we mostly only ever see in arrears and so I understand that you’ve got sort of good visibility into distribution. But once it needs distribution, maybe you can help us better understand how you can look at or what leverage you have to look at to make the commentary that inventory is lean right now? In addition to that, when do you think supply and demand comes into balance? And I guess as we look into next year in your auto business, do you think it’s still going to be a SAAR plus content type growth year for you or do you think we will end this year with some inventory that will dampen growth next year?
Ravi Vig: We have a fairly reasonable inventory views into our customers from a perspective that we’re speaking with them on delivery issues, on supply alignment, etcetera. And to the best of our knowledge, what we believe is that the products that we are shipping to our customers are predominantly going right through to service end demand. And we don’t have – we do not have any indication at all that our customers today – our OEMs today are building up any sort of inventory. And we look at the outlook for the rest of the year, and we keep believing that at this point the supply constraint – the supply-demand imbalance will continue. We have no indication at this point given the feature-rich vehicles, given our design win momentum and what that’s doing to drive market share gains, etcetera. And the growth in ADAS, xEV applications, we see that. For Allegro, we will continue to outperform the SAAR math that you just referenced.
John Pitzer: That’s helpful. And then Ravi, just going on to the power side of the business. Great growth year-over-year in that business, I am assuming the design pipeline there is as strong, if not stronger than the magnetic sensor. But I’m kind of curious if you can give us some anecdotal as to where you’re doing extremely well? And is it just power by itself or are you going in at sort of – almost like a system-level title with power and magnetic sensors?
Ravi Vig: Yes. So we’re extraordinarily excited that we have two great businesses. This is part of the transformation of the company. We were predominantly a magnetic sensor company and our investments over the last 5 to 7 years in power has really created a vibrant business. One of the ways we’ve succeeded is aligning our power business in many of the applications that we’ve got – had strength in our sensor business. So for example, our ADAS business is really focused on motion control, where we provide sensors for angle sensing, torque sensing, speed sensing, current sensing, but we also provide [indiscernible] drivers, disconnect switches and regulators. So this is an example of a motion control system play that we have, and that’s been very successful in – as being part of our ADAS story. Power has focused and aligned itself into – in many of the segments that the sensor business was focused on, which is under the hood power. But our power business also leverages some very unique wafer technologies. We have 100-volt BCD which we think is state-of-the-art in that it operates down to 175 degrees centigrade. And we believe that that’s been one of the differentiators for Allegro in some of the power applications. Power is also growing in our – in LED lighting, for example, but we don’t really particularly speak much about the interior lighting. What we speak more about is the headlights, tail lights that are really aligned with safety-critical systems. So in Industrial, we’ve previously discussed our great take-through in data centers on our three-phase BLDC drivers. These are really system-on-chip solutions, which control the fan, commutate the fan. They include all the IP associated with it. And this has had great take rate, both predominantly initially in data centers, but now also in secondary applications in Automotive. So we continue to remain bullish in power.
John Pitzer: That’s helpful. Thank you very much.
Operator: [Operator Instructions] Your next question comes from the line of Vijay Rakesh with Mizuho.
Vijay Rakesh: Yes. Hi, Ravi and Paul, great start to fiscal ‘22. On the June quarter, I know you talked about orders up 13% sequentially, which is pretty strong given I think LVP, SAAR was down 8%, probably underlines your EV leadership. So sticking on the design win pipeline on EVs, if you could give us some color on how that pipeline has expanded in the June quarter? Also similarly on the ADAS side, too, if you could give us some more color on design wins there?
Ravi Vig: Yes. So what we look at from a design win perspective that in EV, we continue to win in inverters. We had spoken about – in the last couple of quarters that we’ve seen great pickup on our inverter products in EV, but also in our onboard chargers, etcetera. And – so in xEV, we see the core systems that we focused on, basically inverters and onboard chargers, is growing nicely. We also see the entire industrial ecosystem on EV that is – that we are participating in, both in infrastructure associated with EV and factory – battery factory technology in EV. So EV for us is a pretty holistic story.
Vijay Rakesh: Got it. And just going on the backlog a little bit, I know you mentioned backlog has been historically strong now. Could you give us some color on how that’s increased sequentially or give us some split on how it is splitting up between Auto, Industrial, et cetera? Does it pretty much track your revenue split or are you seeing an overskewed Automotive pickup there? Thanks.
Paul Walsh: Hi, Vijay, this is Paul. While we haven’t provided specific details in the past or today about the level of backlog, it continues to grow at a very healthy rate. It also provides a lot of visibility into the near-term or medium-term demand. And we’re seeing growth in the backlog in all these end markets and in the submarkets like xEV and ADAS within Auto and then within the markets of Industrial as well. So we’re very excited about that. It’s great visibility. And we continue to look at ways on how to address that.
Vijay Rakesh: Okay, awesome. Thanks a lot.
Operator: Your next question comes from the line of Srini Pajjuri with SMBC Nikko.
Srini Pajjuri: Thanks you. Good morning, Ravi and Paul. A couple of questions. Maybe one for Paul first, on the gross margin, Paul, the sequential flow through is roughly 70% in the last couple of quarters. I know you’re guiding kind of flattish gross margin, but is 70% the right way to think about as you model gross margin for the next few quarters or if you can talk about some of the puts and takes?
Paul Walsh: So I think what you’ve seen in the past few quarters, Srini, is the – our ability to absorb the closure of the Thai facility into the Manila facility. And what we had always talked about is this being a major phase, a major milestone in the gross margin transformation of the company to get it to 52%. And then as the company grows, mix and other favorable growth trends within product mix will help benefit. So I think we’re very pleased with what we saw in Q1 and what we continue to see right now. I think that growth trend, though, is – was more of an absorption of the – of two factors into one.
Srini Pajjuri: Got it. And then if you can talk about some of the puts and takes outside of the mix? Is it – do you still have any of the absorption left as far as the facilities consolidation is concerned and if you can talk about any other factors that might impact the gross margin?
Paul Walsh: So the facility in Thailand is closed, where just we had certain wind-down costs, but that’s more on the SG&A side from a legal perspective. From a gross margin perspective, none of that’s been impacted. And now some of the efficiencies that we anticipated to see in our Manila factory, once everything has been installed and up and running, we’re starting to see those benefits. Plus, we have a number of initiatives internally to address things. For example, test time reduction and things like that, that can help significantly on the cost front. And so – and that’s an ongoing activity, and we’ve seen some benefits of that already.
Srini Pajjuri: Got it. And then next one is for Ravi. Ravi, I guess some of your peers are talking about the visibility is still being very strong and supply is still being very tight. At the same time, it looks like things aren’t getting worse from here. Things seem to be stabilizing a bit on the supply side. So I just want to hear your thoughts about your lead times and what you’re seeing on the supply side in terms of wafer availability in general? And then I guess it’s a little difficult to forecast when we might get back to normal. But as we get back to normal, given the disruptions, how are you thinking about or what your customers are telling you about how their inventory practices might or might not change going forward? Thank you.
Ravi Vig: Yes. So as Paul has stated, we have record-level backlogs. We have visibility at unprecedented levels for the company. So the backlog is there. The visibility is there. That’s coupled with our design win momentum that’s driving top line growth. So that keeps adding on new projects on to our existing business. It also is coupled with the clear trend towards feature-rich vehicles that’s really beneficial to the company, which is ADAS and xEV in Automotive. So from an Allegro perspective, we continue to see that as supply comes on, it’s being dedicated to service real applications, real growth, market share expansion. And we do not see that in the near-term that our increased capacity or as the supply continues to come on that it’s really servicing inventory at this point. So we have no visibility at this point when inventories will stabilize, just given from an Allegro perspective, given the momentum that design wins provide us.
Srini Pajjuri: Got it. Thank you.
Operator: And your next question comes from the line of Mark Lipacis with Jefferies.
Mark Lipacis: Hi, thanks for taking my question. Paul, maybe for you, you’ve worked at a number of different semiconductor companies. And I was wondering if you can share with us your thoughts on how – appreciate all the secular drivers behind your business, but – like what are the leading indicators that you look for or you look at that – to tell you that maybe your customers got ahead of themselves and are about to kind of reverse course on the order trends for – on your – on the order bookings placing on you guys? And to what extent do you think that this kind of peaks out driven by capacity coming online versus some kind of a demand shock? I appreciate your thoughts. Thank you.
Paul Walsh: Sure. Thank you, Mark. So I’ll break it into two categories. On the disti side, we have excellent visibility into what the – as do many semiconductor companies, as to what the disties have for inventory. We see what their POS is. Their inventory levels are really at historic lows. I mean, essentially, there – when product is shipped to distribution, they ship it right out to the end customer. And so we have that visibility, and we are very careful, of course, to make sure that, that doesn’t – that the situation that you described doesn’t happen. But we don’t see any issue there or we don’t foresee anything there in the near or medium-term. On the non-disti side, Ravi alluded to earlier, just in discussions with many customers on the non-disti side, large auto customers or industrial customers, that these types of – this is more anecdotal, but these types of conversations are such that they wouldn’t be happening if their inventory was – if they had the inventory and they were in a smoother production ramp. We also – we do look at our – a lot of these non-disti customers do use VMI. And that’s as a way to manage their inventory, and we can see that, and that provides us another lever for visibility. So as Ravi mentioned earlier and my view is that I don’t know when the supply-demand will balance, but I think many – between what we see from our end customers and from what we see from our peers and what we see internally, I think that’s not in the near-term or the medium-term.
Mark Lipacis: Thank you. Very helpful.
Operator: And at this time, there are no further audio questions. We’ll now turn the conference back over to Ms. Katie Blye for closing remarks.
Katie Blye: Okay. Thank you, Pauline. That does conclude today’s conference call. Thank you for joining us today, and thanks for your interest in Allegro.
Operator: And thank you. This concludes today’s conference call. You may now disconnect.